Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to Saratoga Investment Corporation's Fiscal First Quarter 2013 Financial Results Conference Call. Please note that today's call is being recorded. [Operator Instructions] At this time, I would like to turn the call over to the company's Chief Financial Officer, Mr. Rich Petrocelli. Sir, please go ahead. 
Richard Petrocelli: Thank you. I'd like to welcome everyone to Saratoga Investment Corp.'s Fiscal First Quarter 2013 Earnings Conference Call.
 Before we begin, I need to remind everyone that this conference call contains statements that, to the extent they are not recitations of historical fact, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual outcomes and results could differ materially from those forecasted due to many factors, which are described in the company's filings with the U.S. Securities and Exchange Commission. We do not undertake to update our forward-looking statements unless required to do so by law.
 A replay of this conference call will be available from 12:00 p.m. today through Tuesday, July 24. Please refer to our earnings press release for details.
 I would now like to introduce our Chief Executive Officer, Christian Oberbeck, who'll be making a few introductory remarks. 
Christian Oberbeck: Thank you, Rich, and welcome everyone. In the fiscal first quarter of 2013, we maintained a strong balance sheet and continue to make investments from our growing pipeline, including some in 2 new sectors, Automotive and Business Services. 
 Portfolio credit quality also improved as we increased both the amount and proportion of internally-rated strong credits. Along with the growing investment pipeline, we continue to have an optimistic view of the demand for financing in the markets we address. I will return shortly with a review of our portfolio. I would like to now turn the call back over to Rich to review our financial results. 
Richard Petrocelli: Thanks, Chris. Saratoga Investment Corp.'s net investment income for the fiscal first quarter ended May 31, 2012, was $1.3 million or $0.33 on a weighted average per share basis. Net gain on investments was $1.9 million or $0.49 on a weighted average per share basis, resulting in a net increase in net assets from operations of $3.2 million or $0.82 on a weighted average per share basis.
 Net asset value per share was $25.94 as of May 31, 2012, compared to $25.12 as of February 29, 2012. 
 Our total investment income for the quarter was $3.6 million, an increase of approximately $700,000 or 2.5% compared to the fiscal first quarter of 2011. Our investment income was comprised primarily of $3.1 million of interest income and approximately $500,000 of management fee income associated with the investment in the CLO. 
 Our total operating expenses were $2.3 million during the quarter, and consisted of: $625,000 in interest and credit facility expenses; $459,000 in base management fees; $346,000 in professional fees; $430,000 in incentive management fees; $130,000 in insurance expenses; $250,000 in administrator expenses; and $105,000 in director's fees and expenses, general administrative and other expenses.
 For the 3 months ended May 31, 2012, total operating expenses increased only slightly, by about $27,000, compared to the 3 months ended May 31, 2011. 
 On May 31, 2012, we had $20 million of borrowings under our $45 million revolving credit facility with Madison Capital Funding and just over $28 million in cash and cash equivalents. As we noted in the past, we are required in accordance with the terms of our senior secured revolving credit facility to use the amounts held in cash and cash equivalents and reserve accounts to pay interest expense, reduce borrowings or pay certain other amounts. 
 As of May 31, 2012, the company's small business investment company subsidiary had $25 million in regulatory capital and no SBIC debentures outstanding. With the $45 million credit facility and up to $150 million borrowing capacity at the SBIC subsidiary, Saratoga Investment has a total of $195 million of borrowing capacity. That concludes my financial review. I will now turn the call back over to Chris. 
Christian Oberbeck: Thanks, Rich. Before we open for questions, I would like to review the composition and performance of our investment portfolio. At the quarter ended May 31, 2012, the fair value of the company's investment portfolio was $106.7 million, principally invested in 21 portfolio companies and 1 CLO fund, with $402.9 million of assets under management. 
 Saratoga Investment's portfolio was composed of 40.9% first lien term loans; 11% second lien term loans; 10.2% senior secured notes; 5.7% of senior unsecured loans; 1.8% unsecured notes; 6.8% of equity interests; and 23.6% of subordinated notes of the CLO.
 During the 2013 fiscal first quarter, Saratoga Investment Corp. invested $13.3 million in new or existing portfolio companies, and had $4.5 million in aggregate amounts of exits and repayments, resulting in net investments of $8.8 million for the quarter. 
 At the CLO, Saratoga invested $48.8 million in new or existing portfolio companies and had $57.2 million of exits and repayments. The company's new investments during the quarter in the Automotive and Business services sectors included Take Five Oil Change, SourceHOV and DS Waters of America. In closing, I would again like to thank all of our shareholders for their ongoing support. We're excited about the growth and profitability that lies ahead for Saratoga Investment Corp. I would now like to open the call for questions. 
Operator: [Operator Instructions] I have a question from Ryan Lynch of Stifel, Nicolaus. 
Ryan Lynch: In regards to your SBIC license, how fast do you guys see yourself deploying the $25 million of regulatory capital? And then when do you guys see yourself starting to drawdown SBIC debentures? 
Christian Oberbeck: Well, that's -- first of all, our primary objective is to deploy our SBIC funding as soon as we can, but obviously in the most prudent manner we can. And so we have invested, to date, $7 million of the $25 million and we just committed another $3 million yesterday. And so we will have $10 million invested and we've got a number of others in the queue. And so we would anticipate getting the $25 million invested as soon as we can. We've got quite a lot of deals in the queue. But obviously we have to get those deals closed and they also have to be of appropriate credit quality. And so as soon as the $25 million is deployed, then we have, as you stated in your question, then we can access the $50 million of the debentures. And as you know, those are very low cost sources of funding. So currently, I guess, something around 4% or so is the rate, all in, of those debentures. So that our primary objective is to get that full $25 million deployed and then the $50 million deployed. Then obviously, and then we have a chance to draw down more going forward. 
Ryan Lynch: Okay. Great. Then also can you guys give me any color on the current loan environment? How are yields holding up and such? 
Christian Oberbeck: Well, I think basically it's a very competitive environment right now. I think the supply of capital is large and there's a lot of competition to put money to work. And then the number of deals that are looking for refinancings or complete buyouts is relatively small, and so it's quite competitive and there is pressure on yields. And so we are seeing that in the market. We still believe that transactions that we've closed meet our -- both our yield criteria and our credit criteria. So there are good credits to invest in. But it's -- they're not as plentiful and as easy to get done as all of us would hope. But they're still there and we're making progress getting those on our books. 
Operator: [Operator Instructions] Our next question is from Bob Rosenbloom of Black Diamond. 
Robert Rosenbloom: Just to follow up on the SBIC. So you put 3 new names in your portfolio in the May quarter. Were those some of the names that you had bought for the SBIC portfolio? 
Richard Petrocelli: About the Take Five Automotive, that investment was made in the SBIC subsidiary. The other 2 investments were made up at the BDC. 
Operator: I'm showing no further questions at this time. I would like to turn the call over to management for any closing remarks. 
Christian Oberbeck: Okay. Well again, thank you, everyone, for joining us today. We look forward to speaking with you next quarter and we appreciate your ongoing support. Thank you very much. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect, and have a wonderful day.